Operator: Ladies and gentlemen, welcome to Sienna Senior Living Incorporated Q2 2021 Conference Call. Today's call is hosted by Nitin Jain, President and Chief Executive Officer; and Karen Hon, Chief Financial Officer of Sienna Senior Living Incorporated. Please be aware that certain statements or information discussed today are forward-looking, and actual results could differ materially. The company does not undertake to update any forward-looking statement or information. Please refer to the forward-looking information and risk factor sections in the company's public filings, including its most recent MD&A and AIF for more information. You will also find a more fulsome discussion of the company's results in its MD&A and financial statements for the period, which are posted on SEDAR and can be found on the company's website, siennaliving.ca. Today's call is being recorded, and a replay will be available. Instructions for accessing the call are posted on the company's website and the details are provided in the company's news release. The company has posted slides, which accompany the hosts' remarks on the company website under Events & Presentations. With that, I will now turn the call to Mr. Jain. Please go ahead, Mr. Jain.
Nitin Jain: Thank you, Sharon. Good morning, everyone and thank you for joining us on our call today. At Sienna, we believe it is a privilege to care for and serve Canada's seniors and we're continuing our relentless efforts to ensure delivered utmost comfort, dignity and respect. Recent months have been marked with a renewed optimism, our peer review to the future and some exciting developments at our company. Over the past year, we conducted an in-depth assessment of our Retirement platform and identified opportunities that will set us apart in a competitive market. We believe that by repositioning our Retirement operations, we can fill our current gap in Canada - in Canadian seniors living. As part of this repositioning initiative, our Retirement operations will start operating under the brand name, Aspira. At the center of our new brand is a conviction that seniors should be able to live the life they deserve, with an increased emphasis on being a vital part of the local community. Initially, we'll enhance service offerings such as dining and resident programs, our culinary experience will feature more choices, carefully curated ingredients, healthier options, vibrant presentations and a greater emphasis on local products. With the help of technology and the addition of signature programming, our resident engagement programs will focus on motivating residents to explore more possibilities to get stronger and healthier, and to be more engaged within their local communities. In addition, our wellness programs will be expanded and more clearly communicated, enabling our residents to discover more choices and create their own path. The Aspira name and enhanced product and service offerings will be launched later this year through to early 2022 and will be supported with a widespread communications and a marketing campaign with a designated website for the new Retirement platform. We expect our Aspira brand and service offerings will support occupancy growth and contribute to improved financial performance as a result of better brand awareness and loyalty. We are creating a distinct online presence for our Retirement portfolio, we can more effectively drive traffic to our residences. We also expect a new brand to support our talent attraction and retention efforts. It is our belief that a consistent and comprehensive set of standards under the new brand will allow us to continue to scale our platform and support our continued growth. Moving to development. Our current joint venture, Retirement Development with Reichmann Senior Housing in Niagara Falls is progressing well. We started construction of the 150-suite greenfield development in May, which is expected to achieve an approximate development yield of 7.5%. We also continue to make good progress on 160-bed Long-Term Care redevelopment in North Bay, where we expect to start construction later this year. The new Long-Term Care Community named Northern Heights Care Community will replace our Waters Edge Care Community and is designed to the newest industry standards. In early July, the Premier of Ontario and other senior members of the government participated in the site ceremonial ground-breaking event. We are grateful to play an important role in building the future of seniors living in Canada. Through developments such as this, we are also contributing to the long-term economic growth in the region. We're also making immediate upgrades to the older C-Class Long-Term Care portfolio, independent of the timing of redevelopment. To elevate the experience of our residence and the work environment for our team members, we are investing $2 million this year for capital upgrades in the common areas, such as lobbies, staff rooms and recreation rooms. These investments are made on top of regular annual maintenance capital expenditures. Furthermore, we are proceeding with upgrading and installing 1,800 new air conditioning units in resident rooms at over 30 of our Long-Term Care communities. We strongly believe that all residents' room should be air-conditioned and committed to this project prior to mandatory regulations coming into effect. Moving to Slide 8, addressing vaccine hesitancy proved to be crucial. Our approach was focused on ensuring everyone is well informed, which included in a far reaching communication and education plan and logistical support for our team members and residents to get the vaccine. We also have a vaccine contest to incentivize and thank our team members for getting vaccinated, and have recently awarded cash prizes to 3 personal support workers. The most recent winner was Marcia Palmer, to whom I have the privilege to present a $10,000 check when our name was drawn after we reached our 85% vaccination targets across the company. Marcia was among the first team members to get vaccinated and has dedicated 19 years working at the PSW on night shifts at our St. George Care Community in Central Toronto. According to our most recent vaccination data, 96% of our residents and 88% of our team members received their first dose of the vaccine with 95% of our residents and 77% of our team members fully vaccinated. But many public health restrictions being lifted in our key markets in Ontario and British Columbia, we have been able to gradually reopen and welcome prospective residents and visitors to our residences. Together with a vigilant infection prevention and control measures, this contributed to the very low number of active COVID-19 cases across our portfolio in recent months. As of yesterday, none of our 83 owned and managed residences have any active COVID-19 cases. Our focus continues on improved quality of care and strengthening our ongoing review of quality of care based on quality indicators, clinical reviews and inspection reports. We also continue our collaboration with the Seniors Quality Leap Initiative. This is an initiative we joined last year to better understand quality outcomes and opportunities for improvements. Based on our initial report card from SQLI, our performance is in line with SQLI-ian members and international benchmarks. Moving to occupancy. The improved operating environment resulted in the resumption of in-person tours and increased the number of residents moving into our Retirement and Long-Term Care communities. The effort of our marketing and sales teams who have been working on numerous initiatives are also paying off. This quarter's online leads tripled year-over-year and resulted in a 147% increase in rent deposits and a 121% increase in move-ins compared to Q2 2020. These strong lead indicators are reflected in the occupancy improvements in our Retirement portfolio. Same property Retirement occupancy reached 80.6% at the end of second quarter, an increase of 200 basis points from the end of Q1. Average occupancy continue to improve in July, at 79.7% an increase of 80 basis point from average occupancy of 78.8 - 78.9% in June. For the remainder of 2021, the forecast continued gradual occupancy improvements in our Retirement portfolio, based on the assumption that residences will remain open for in-person tours and continued pent up demand. In our Long-Term Care portfolio, we have made good progress with respect to new resident admissions. Q2 occupancy increased by 130 basis point from the previous quarter to 81.6%. This number is not adjusting for approximately 500-beds, which were unavailable mainly as a result of capacity limitations in 3 and 4-ed ward rooms. Our Long-Term Care occupancy ended the quarter at 83.5% and is expected to continue to improve in the second half of the year as admissions accelerate. As of now, the government has indicated that effective September 1st, 2021, occupancy targets required for full funding will be reinstated. This excludes unavailable beds. Given the long waiting list for Long-Term Care beds in Ontario and the resumption of admissions of residents, we anticipate that we can achieve the necessary occupancy targets required for full funding at the majority of our residences. Excluding the impact of net pandemic expenses, we expect the financial performance of our Long-Term Care portfolio in 2021 to be slightly below 2020. Our internal forecasts are based on the impact of earlier access restrictions on preferred accommodations and the possibility of not achieving the required occupancy targets at some of our residences. Moving to our continued focus on diversity, inclusion and fair compensation. With nearly 13,000 team members, our employees are Sienna's most important assets. Our commitment to corporate social responsibility and our team is highlighted in a midyear update to our ESG report, which focuses on diversity and our approach to fair compensation and gender pay equity. At Sienna, over 95% of our workforce receives compensation above minimum wage, and approximately 80% of our frontline team members receive compensation that exceeds minimum wage by 50% or more. Furthermore, our predominantly female workforce is mirrored in our management teams, with approximately 80% of our top Sienna - leadership positions held by women. When it comes to gender pay equity, male and female frontline team members' compensation for similar position is comparable. Our strong and diverse team will support our effort to ensure that people live with utmost comfort, dignity and respect. With that, I'll turn it over to Karen for an update on our financials.
Karen Hon: Thank you, Nitin and good morning, everyone. In recent months, in-person tours have resumed at our Retirement residences and resident admissions have accelerated across many of our Long-Term Care residences. At the same time, incremental pandemic-related expenses have started to moderate and we anticipate further improvements as the pandemic subsides. However, the timing of pandemic expenses versus the funding of such expenses continues to affect our financial results. While our operating improvement has improved significantly, our financial results remain below prior your levels. As shown on Slide 13, revenue decreased by 0.1% year-over-year to $162.7 million this quarter. Consolidated net operating income decreased by 2.8% to $31 million this quarter compared to last year. This was largely the result of lower occupancy in a Retirement portfolio and lower preferred accommodation revenues in our Long-Term Care portfolio, which was partially offset by lower net pandemic expenses, rental rate increases in Retirement and inflationary funding increases in Long-Term Care. Retirement same property NOI decreased by $2.3 million to $12.8 million this quarter compared to last year. Excluding net pandemic expenses, Retirement same property NOI for this quarter decreased by $2.8 million year-over-year to $13.7 million, mainly due to lower occupancy partially offset by annual rental rate increases in line with market conditions. Rent collection levels remain high at approximately 99% consistent with pre-pandemic levels. Long-Term Care same property NOI increased by $1.5 million year-over-year to $18.1 million, largely due to lower net pandemic expenses in this quarter. Excluding net pandemic expenses, Long-Term Care NOI for Q2 decreased by $2.4 million compared to last year to $20.5 million, mainly as a result of lower revenues from preferred accommodation. During Q2 2021, Sienna incurred $3.8 million of net pandemic expenses. This represents a decline of $1.6 million or 30% lower compared to Q1 2021, after adjusting for retroactive pandemic funding, which we received last quarter. Although we continue to incur extraordinary pandemic expenses, the quarter-over-quarter improvement was largely driven by the reduced reliance on agency staff. Compared to Q2 2020, net pandemic expenses decreased by $6.8 million or a decrease of 64%, largely as a result of additional government funding and a moderation of pandemic-related costs related to additional staffing. Q2 OFFO per share was $0.226, a decrease of $0.23 compared to the prior year. Excluding net pandemic expenses for the quarter OFFO per share would have decreased to $0.268 year-over-year, and Q2 AFFO per share was $0.21, a decrease of $0.38 compared to the prior year. Excluding net pandemic expenses for the quarter, AFFO per share would have decreased to $0.249 year-over-year. Moving on to Slide 15, looking at our debt metrics. Our debt to gross book value improved by 270 basis points to 45.5% as at June 30th, compared to the end of 2020, mainly as a result of repaying our credit facilities. Debt to adjusted EBITDA improved to 7.4 years in 2021, compared to 9.4 years in 2020. Our weighted average cost of debt was 3.4% year-to-date 2021, a marginal increase from 3.2% in 2020, while our total debt decreased by $85 million as at June 30th, compared to the end of last year. And our interest coverage ratio was 3.9 times year-to-date in 2021, compared to 3.1 times in 2020, effectively returning to pre-pandemic levels. In terms of our balance sheet on Slide 16, Sienna maintains a strong financial position and an investment grade credit rating. On June 3rd, we issued $125 million in unsecured debentures at an interest rate of 2.82% maturing in March 2027. With this financing, we further reduced near-term debt maturities and improved our long-term debt ladder. The debentures were issued at the lowest interest rate and longest maturity compared to any of our previous debenture offerings. We ended the second quarter with $235 million in liquidity, an increase of $34 million since Q1, and an unencumbered asset pool of nearly $1.1 billion, an increase of approximately $247 million compared to the end of Q1. Our debt is distributed between unsecured debentures, conventional mortgages and CMHC Insured mortgages. I will now turn the call back to Nitin for his closing remarks.
Nitin Jain: Thank you. It's been a very different place than we were a year ago. While we stay vigilant and are prepared for a possible fourth wave, recent months have been marked with renewed optimism at Sienna. As I'd mentioned in my opening remarks at the center of our rebranding initiative is the conviction that seniors should be able to live the life they deserve, with an increased emphasis on being a vital part of the local community. We also continue to work with stakeholders to improve the way we care for our seniors and stay focused on advancing our Long-Term Care redevelopments. The strength of our balance sheet and our operations will support our ambitious $600 million redeveloping plan to modernize Long-Term Care in Ontario. I want to finish by thanking our team members whose drive, compassion and commitment will support this purpose by providing our residents with the highest level of care and services for years to come. Thank you for your participation on the call today. We are now pleased to answer any questions you may have.
Operator: [Operator Instructions] Your first question comes from the line of Jonathan Kelcher from TD Securities.
Jonathan Kelcher: Thank you. Good morning. First question just on Aspira. Is that something that you guys contemplated prior to COVID? Or does that come from some of the lessons that you've learned over the last 18 months?
Nitin Jain: So this is a new initiative as you know, we have a brand new executive team, and one of the teams we contemplated is, how can we position our Retirement platform differently over the last five years since rebranded the company to Sienna. At that time, we added on 11 Retirement homes, and today, we have 27 Retirement homes that we own. And we also manage the Canadian portfolio for Sabra Healthcare REIT of additional 8 homes. And given our continued focus on growing this business, we thought it will make sense to have a separate platform, a common platform to really drive efficiency, drive programming and obviously help us to grow as we go further.
Jonathan Kelcher: Okay. Fair enough. And then just on the Retirement occupancy. Good to see that moving up. How - how's the trend so far in August?
Nitin Jain: I think it's too early to talk about August, you know, there's a bit of delay usually in getting the data. July numbers we just talked about that we are seeing continued occupancy increase in July versus June. You know, we continue to see some improvements, usually summer months are a bit slower. So I think it's hard to predict at this point, but we do expect for the balance of the year to continue to have a gradual increase in our occupancy.
Jonathan Kelcher: Okay. And then how - just lastly, how the leads and deposits compared to the similar time in 2019?
Nitin Jain: So I don't have the 2019 data just top of our head, you know, we have 2020. But I'm assuming, you know, the reason you're asking 2019 is, because of how - volatile 2020 was. So we don't really have the data readily available, but if something we can provide at a later date, Jonathan.
Jonathan Kelcher: Okay, thanks. I'll turn it back.
Operator: Thank you. Your next question comes from the line of Frank Lee of BMO Capital Markets.
Frank Lee: Good morning, Nitin and Karen. How are you?
Karen Hon: Very good, Frank. Good morning.
Frank Lee: So my first question really comes to the net pandemic expenses. Now I see that a lot, which is just fine. But I honor you know, what's your expectation for the remainder of this year and you know, beginning of 2022? Do you expect like, you know, this keep trending lower to a certain level, because I heard from other was that like, you know, expenses that by, you know [technical difficulty] like a [technical difficulty]. So just want to know about your [technical difficulty]?
Karen Hon: Hi, Frank, I'll start answering the first part of the question. I couldn't hear the second part clearly, so let me know what I can fill up afterwards. Now, we are very encouraged to see the direct correlation with our high vaccination rate and our very low or no COVID case counts, which directly contributed to a reduction in pandemic expenses quarter-over-quarter. And that also helps us be able to rely less on agency staff. We expect that our pandemic expenses could further moderate some more as we continue to see a stable operating environment. However, would you continue to expect that our pandemic expenses could come in higher than pandemic funding, one partly due to timing, but also, you know, our Retirement business doesn't get the same amount of pandemic funding. So we do expect that for some time, you know, unfunded pandemic expenses. And looking ahead, it is still hard to predict you know what our next pandemic expenses would be, because we are staying very vigilant as we have a fourth wave that is looming.
Frank Lee: Okay. So my question - sorry, can you hear me better now?
Karen Hon: A bit.
Frank Lee: A bit, I'm sorry. So my second question really comes as you know, what's your - do you think you know, the pandemic-related expenses will meet at a certain level? That I hope occupant or the resident that, you know, start moving to the PPE are very large that was not needed moving forward, I was hoping staying moving forward even after COVID?
Nitin Jain: Frank, so I think your - again, the voice is a bit muffled. I think we all have found this working from but different places at times. I think what your question is, is the permanent aspect of pandemic expenses. Potentially, I look, you know, we continue to believe that, you know, that there might be a small impact, but not really huge. You know, I mean, if, let's say if people continue to wear masks for a period of time, masks cannot come down significantly in price, they usually cost $0.05 to $0.10, they went up to nearly $1. Now, they're back to that $0.05 price - pricing or so. So even if there's a limit - if there's some limitations on wearing some PPE, I don't think that'll have a significant impact on pandemic expenses. And restrictions are coming off. So and if there is - if there continues to be some vigilance in Long-Term Care up to a small amount, we do expect that part to be funded going forward as well.
Frank Lee: Okay, thank you. That's great. [Technical difficulty].
Karen Hon: Can you repeat that?
Frank Lee: Hello? Sorry, sorry. Can you hear me better now?
Nitin Jain: Yes. Thank you.
Frank Lee: Yeah. Thank you. That's a great color. And my second question is, you know regarding the long waiting list for LTC badge. I just wonder how things have been changing since Q1. And you know, do you expect any spillovers, you know, from your LTC tenants and for tenants who was looking for LTC badge for your Retirement homes?
Nitin Jain: I mean it's possible, but usually, you know, there's two way different kind of residents in Retirement and Long-Term Care. So you might have residents in Retirement who are looking to move into Long-Term Care. So there might stay a few extra months while they're looking for a Long-Term Care space. Usually, you know, residents who are looking for Long-Term Care would not necessarily move really into Retirement.
Frank Lee: Got it, got it. Okay. And the last thing, I see you guys had an issuance of unsecured debt. And, you know, I just wonder how the conversation with a rating agency and yeah just want to get some color from there.
Nitin Jain: I mean I think color is pretty clear on their rating confirmation. That was really the extent of what we can talk about. You know, it's - it was no different than going through - getting a rating confirmation, which we - which everyone has to go before you issue the debt.
Frank Lee: Okay. All right. Thank you very much. I'll turn it back. Thank you.
Nitin Jain: Thank you.
Karen Hon: Thanks, Frank.
Operator: Your next question comes from Himanshu Gupta from Scotiabank.
Himanshu Gupta: Thank you, and good morning. So, on the Long-Term Care, what could be your LTC occupancy by the end of August? And where do you need to be to watching full funding?
Karen Hon: Hi, Himanshu. You know, we have been working very closely with the various LHINs to move-in resident on an expedited basis. And we do see that now there's a traction being gained. So it is hard to predict you know where we would be ending at the end of August. And we did end the quarter at 83.5% on an unadjusted basis, meaning, without removing the unavailable beds, which we expect that would not be included in the occupancy target. We do expect that they'll come September that the majority of our homes would be meeting the occupancy target and for a small portion of our homes that it's really a matter of time to get to that target and that the impact would not be significant in our overall year's result.
Himanshu Gupta: Yeah. And Karen, can you quantify the impact? I know you said is going to be small in the context of you know full year earnings. But you know, what could be the September impact of not achieving full funding?
Karen Hon: Yeah I'd say that because it is hard to predict you know each month where our occupancy would be, it is equally hard to predict what that impact would be. We are working very hard to move-in the resident very quickly as we know, it is a centrally controlled by the LHINs and that administrative process does take some time.
Himanshu Gupta: Okay, that's fair enough. And then you know, sticking to LTC. Again, there was a funding shortfall in Q2. And do you expect to catch up in the next few quarters?
Nitin Jain: I would say, Himanshu, that we, you know, as a fact that we continue to advocate for those funding shortfalls we made a hold, but we don't really know that will happen or not. So we are hopeful, but that's not something you know, we can confirm or count on at this moment.
Himanshu Gupta: Okay, that's fair enough. And then just moving to the Retirement home occupancy, I mean, we have seen some recovery in the last two months. Is the recovery consistent with the overall market you operate in - overall markets you operate in?
Nitin Jain: No. I mean, you know, it is quite different for each market, you know, there are markets such as Ottawa, which continue to have a challenge because of supply and when occupancy is even lower, that supply challenge becomes even bigger. So, no, it's not consistent across markets. But, you know, we - however, overall, we're seeing an occupancy change across all markets, that the amount of it would differ from market to market.
Himanshu Gupta: Okay. And then, you know, beyond that, you know, your occupancy moved I mean consistently in the last few months. Are you offering like more concessions? Are you aggressively marketing your product?
Nitin Jain: So you know, usually when we say concessions our approach is, you know, there might be a one-time incentive to move, you know, such as moving cost or others. We don't really reduce rates, that's not a good recipe for success, because you have the residents the new and if someone new coming in has a significantly lower rental rate that's - that does not fit well with the current residents. So we do offer one-time incentive, and that's really the approach has not changed. So there's no significant incentive, which is driving this, it's really working with our marketing team, you know, training, following-up on leads, our centralized call center. So I think there are multiple reasons why we're seeing this growth, not incentives is not necessarily one of them.
Himanshu Gupta: Okay. And are do you think like smaller operators or, you know, your competitors are offering more concessions today to lease out their product?
Nitin Jain: Maybe one-off, we really haven't heard anything systematic, Himanshu.
Himanshu Gupta: Okay, awesome. Okay so maybe just last question from my side on development projects. I mean two projects obviously underway. How many more you can take on at the same time? I mean, is there internal limit or how much, you know, development dollars you're going to allocate to?
Nitin Jain: Yeah, we feel I think if we can go to $150 million of active projects in the development, but I think that was - that is pretty reasonable. And depending on the size of the project, that could be, you know, 3 to 4 projects, because they could be one completely winding down, where you know, it's fully constructed. And the next one is just getting started, where you just buy land. So you know, I think you could have 3 or 4 projects in active development in very different stages. And the risk of development is also quite different. You know, in Retirement, we have the risk of both the construction or the development risk and the lease up risk. In a Long-Term Care, the risk is more on the first part on construction cost and development cost. So you know, we do feel given a big chunk of our development is going to be Long-Term Care, that potentially it is less risky from a lease up perspective, if we can ensure that we can have a control on the cost and other things.
Himanshu Gupta: Awesome. Thank you, guys. And I'll turn in back.
Nitin Jain: Thank you.
Operator: Your next caller is Tal Woolley from National Bank.
Tal Woolley: Hey, good morning.
Nitin Jain: Hi, good morning.
Karen Hon: Good morning.
Tal Woolley: I wanted to start with something maybe a little less financial. I'm just wondering like, if you can explain to us kind of the on the ground process of, you know, doing the redevelopment, like if I'm a resident in a facility or sorry, if I'm a resident in one of your facilities in a market where you are going to be redeveloping that facility. You construct the new facility, I get moved over. Like, is there a de-leasing process at the old facility that we should be aware of? You know, how do you - how should we think about moving costs, things like that like who bears that kind of stuff? Can you just talk a little bit about the nuts and bolts of like that actual process?
Nitin Jain: Sure. So you know, I think the way you described this, Tal is exactly how it works. You know, there - any cost there would be some moving costs as you're moving to residents. And there's usually a provision by the Ministry and we definitely have included that as part of the development costs, it is not material, because we're moving people across the town. You know, it take - it does take a bit of time, because, you know, moving residents to another place, you cannot really just hire two buses and move everyone in one go, that is a slow deliberate process, you know, usually limit the number of people in each week. So you know for 160-bed home, that process could take, you know, a couple of months to do it properly. And staffing as you know, you might have some stuff in the new place and some in the old, you might be hiring some contract staff, because there might - there would be a bit of a double con for a period of time, because you might have two kitchens running at the same time. So but those costs are not material and are factored as part of our development yield.
Tal Woolley: And the old - and the older facility like, do you stop admissions like, four months in advance, I don't know exactly when you would stop admissions in that market?
Nitin Jain: I mean, not really, you know, because everyone gets moved over to the new place unless you're going down in capacity, which we are not doing. So we are actually going from 148-beds, using the North Bay example to actually 160. And then a couple of other places, other two project which are approved for us, we are also going up in capacity. So it does not - we don't really limit admissions at any period of time.
Tal Woolley: And as we get closer to, you know, these projects getting completed, are you going to be able to disclose to us what the NOI was on the existing properties, so we have an idea of what the pickup will be?
Nitin Jain: Sure. I think we can start to provide some disclosure on it. Just to, you know, when we compare the NOI from an existing building and compare the NOI of a new building. And just to clarify, when we do talk about a development yield, we're talking the new NOI for the new home over the construction costs with a new home. And you know, one could say that, you know, we're not factoring in the NOI from the current home that would be true, however, it's a bit of an apples-to-oranges comparison, because you have a C-bed license, which is going to expire in the next five to seven years, you know, as these homes get redeveloped versus a new A license, which is going to last for, you know, 30, 40, 50 years. So I do think there's a bit of the comparison issue. But you're right from a - just from a pure financial model perspective, you would need to know how much is coming out and how much is going in. So you can factor the incremental, and we can start providing that visibility as we get closer to opening.
Tal Woolley: Okay, that'd be helpful. And then my last question is, you know, this is like the redevelopment of the Long-Term Care facilities that you have to do. You know you're sort of in control of the timing, I would say, like you're not entirely sure of the timing, because the government's going to sign off and everything but you know, it feels like you're sort of in control of the timing. How should we think about your ability to scale the Retirement business when you're going to have, you know, this redevelopment process to work through, because it's going to consume a fair bit of capital simultaneously?
Nitin Jain: Yeah, that's, you know, that's a fair point, usually when we had done material Retirement transactions, I mean, we have a very robust balance sheet, we have a lot of availability to cash it without even going to capital markets at the moment. And our debt which is a 45.5% is debt to book value, so it's not even marked in term of value, it will be in low 40s at the least. So we do have even room in our balance sheet to go up in that during the time of active construction. So at this stage, you know, given a program $150 million to $200 million, because all the things we just talked about, you know, even if you wanted to develop all 12 Long-Term Care homes, you cannot really do that, there's a ministry process, you have to get license approved, you have to buy land. So you know, that process is going to take five to seven years, you know, call it, $100 million to $150 million of active construction in a given period of time, which we don't think is very material given the size of our balance sheet. And then we have done big acquisitions in the past for Retirement growth. You know, we have access capital markets, and that's not something you can always rely on necessarily. But, you know, we had good success over the past five, six years, and we do hope that continues to stay that way, which was recently confirmed then we accessed the unsecured market for our $125 million offering. So when [technical difficulty] we don't feel constrained that by doing one, we will necessarily give up on the growth opportunity on another.
Tal Woolley: Okay, that's fair. Thanks, Nitin. Appreciate it.
Nitin Jain: Thank you.
Operator: Your next question comes from the line of Yash Sankpal from Laurentian Bank.
Yash Sankpal: Good morning. Hello.
Karen Hon: Good morning, Yash.
Yash Sankpal: Yeah. I just want to understand your new relist RH, Retirement home platform. What is the most distinguishing factor between your existing platform and this new platform?
Nitin Jain: Yeah, I think those are the details, Yash that we, you know, we will be going through as we - so the official, again, we're naming it of here - showing the name of it today, all the program that comes along with it, we've provided some details around food, around programming, around wellbeing. So we are sharing some of it. However, the majority of that will come out later this year or early next year, because we are still in the early phases of it. I would say that the few reasons to rebrand. The first one is to just reflect how the company has changed from 11 Retirement homes when we branded them all to Sienna, and with a local name. We currently today, when it is a half - nearly half of the part of the business. So that's one. Second, as we had gone through acquisitions, you know, each one of the homes that we bought have their own platforms at times, their own way of doing things. So having a consistent way of doing things across the platform, we believe is going to have significant impact on service delivery, on team member experience and also how we sell those homes going forward. So those are these kind of things that we can share today. But I think the more details as we progress through the year.
Yash Sankpal: So if I understand this correctly, this is a rebranding, not a new platform, is that right?
Nitin Jain: I would say it's a combination of both, like there, it's not just a name change, because then it'll be just rebranding, it is coming up with how we do service delivery. We talked about, you know, focus on few different things, you know, how we do food differently, how we do some of the programming differently, how we think you know for the wellbeing program, it would also have some impact on the program for team members. So no, it's just not a name change, it has other operational aspects to it.
Yash Sankpal: Okay. And then moving on to the JV, you talked about your Retirement home JV. Are you providing any mezzanine funding or anything for this project? And are you - do you have to be like in the future by the interest of your partner? Are there any of those conditions?
Nitin Jain: So there is no mezzanine financing in this Reichmann Senior Housing. They're very established operators and builders in the Retirement space, very well respected, you know, we're going through - we will get a conventional construction financing on this project, and our intent going into this project to eventually own all of it. So you know, after a certain period of time, you know, we will eventually own the whole Retirement home.
Yash Sankpal: Right. What I'm trying to understand is, are there any, like are you signing up to buy that property at a certain cap rate or anything like that?
Nitin Jain: No, usually they're around fair market value at that point, because it'll be much further out. So there is no pre-negotiated cap rates in this situation, that'll be bought at around fair market value.
Yash Sankpal: Got it. And just one last one. What - how many beds are you losing if the government says that there won't be more than two beds in any room in your LTC division?
Karen Hon: Yeah we've previously shared that, we would have about 350 third and fourth beds in our portfolio that currently we are not moving in residents too based on the Ministry of Regulation.
Yash Sankpal: Okay, that's it for me. Thank you.
Nitin Jain: Thank you.
Operator: Okay. Your next question comes from the line of Pammi Bir from RBC Capital Markets.
Pammi Bir: Thanks, and good morning. Just maybe coming back to the Aspira platform. Can you just comment on the costs associated with the launch? And I'm just curious if you anticipate maybe ultimately driving some new sources of revenue that you're currently not generating?
Nitin Jain: Sure. So the cost we expect for this is around $1 million in capital and maybe a couple of $100,000 in operating expenses. Most of it's really related to our new website, which would have a whole idea of, you know, creating more online leads and selling online. So you know, we feel that will further enhance our lead generation. And second, you know, others could be things such as signage, you know, and some physical changes to the building. So that's really the extent of it. You know there are markets where there's quite a bit of competition. So, again, you know, as going back to then the two intents of this is, first, you have a common platform, so we can have some common programs across the portfolio. And second is to really rethink the service offerings that we have. So we do expect that to generate some additional revenue, whether it's through occupancy increases or whether through charging for additional programming. Again, I think it's too early for us to share those, because we're still in the planning phase for that.
Pammi Bir: Got it. That's helpful. And just maybe one more for me. You know, in light of some of the recent Retirement transactions that we've seen in the market, any comments on what trends you're seeing in pricing in the Retirement space? And maybe any initial thoughts on the Blackstone selection transaction with Revera?
Nitin Jain: Yeah so I, you know, I don't have any other information than what's to disclose about the transaction you just talked about. What we are seeing is that, our pricing is even tighter than pre-pandemic levels, and part of it is reflected in the financing cost that people are seeing, you know, there's whether it's CMHC financing, whether it's unsecured financing for few of the borrowers who can do unsecured financing in senior housing or whether it's conventional financing, rates continue to be quite attractive. And that obviously changes your end of the day, what's your cash flow that is left behind after paying your interest expense, and that also the quality of the assets that are coming, and the amount of capital that is being shared in Senior Housing assets. So we are, in fact, seeing pricing even tighter than it was in pre-pandemic level. That's what we have seen from our perspective, and based on the valuation work, that Karen lead for our unsecured financing. You know, we have not seen any decline - any up rise in cap rates for the properties that we have.
Pammi Bir: Got it. And maybe just coming back to that transaction. By chance, did you - I mean, did you look at those assets at all? Or are you familiar with them?
Nitin Jain: You know, we do look at transactions time to time, I think it'll be - I don't think it'll be right for me to comment on specific transactions.
Pammi Bir: It's okay. Maybe just coming back to, I guess, the overall outlook for Retirement segment of your portfolio? Is it fair to say then, you know, given where you are today and you know sort of still focused on emerging from the pandemic that, you know, Retirement transactions are probably a low priority at this stage?
Nitin Jain: You know, I wouldn't say so. I think, you know, part of a strong platform is to be able to do multiple things at the same time. And we have shown that, you know, while we were dealing with the first wave, second wave, third wave. You know, we were also working on a redevelopment program. So we can actually have two development projects in the swing and we're working one Retirement and one Long-Term Care. And we have two other development projects, which are in towards final stages. You know, we launched a new platform, which had a lot of planning behind it. So we do feel quite confident about our team and about our ability to execute if we find the right transaction. But to your point, we have to be cautious. So it's not, growth is not the only thing that we are focused on. We're also focused on ensuring that we can come back to solve the pre-pandemic levels as it relates to occupancy in our Retirement division and Long-Term Care. So we have to do all of those things. But I don't think that will preclude us from participating in any right transaction if it comes along.
Pammi Bir: Got it. Thanks very much, Nitin. I will - I'll turn it back.
Nitin Jain: Thank you.
Operator: At this time, there are no further questions. I would like to turn the call back over to Mr. Jain for closing remarks.
Nitin Jain: Thank you, Sharon. And thank you everyone on behalf of our Management team and our Board of Directors. We want to thank you for your continued support and I hope you have a great rest of the summer.
Karen Hon: Thank you.
Operator: This concludes today's conference. You may now disconnect.